Operator: Good morning. My name is Soley and I will be your conference operator today. At this time, I would like to welcome everyone to the Cascades Fourth Quarter and Full-Year 2016 Financial Results Conference Call. All lines are currently in listen-only mode. After the speakers’ remarks, there will be a question-and-answer session. I will now pass the call to Jennifer Egan, Director of Investor Relations for Cascades. Ms. Egan, you may begin your conference.
Jennifer Egan: Thank you, operator. Good morning, everyone, and thank you for joining our fourth quarter and full-year 2016 financial results conference call. Throughout today’s call, you will hear from Mario Plourde, our President and CEO; Allan Hogg, our CFO; Charles Malo, President and COO of our Containerboard Packaging Group; Luc Langevin, President and COO of our Specialty Products Group; and Jean Jobin, President and COO of our Tissue Papers Group. After discussion surrounding our North American operations, Mario will then discuss results from our Boxboard Europe Group, followed by some concluding remarks, after which we will begin the question period. Before I turn the call over to my colleagues, I would like to highlight that Reno De Medici’s fourth quarter results released on February 15, can be reviewed on the Reno’s website. I would also note that certain statements made during this call will discuss historical and forward-looking matters. The accuracy of these statements is subject to risk factors that can have a material impact on actual results. These risks are listed in our public filings. These statements, the investor presentation, and the press release also include data that are not measures of performance under IFRS. I would like to remind the media and Internet users that they are in listen-only mode and can therefore only listen to the call. If you have any questions, please feel free to contact us after this session. I will now turn the call over to our CEO, Mario.
Mario Plourde: Thank you, Jennifer, and good morning, everyone. Earlier this morning, we released fourth quarter results that were below our expectations. We reported adjusted net earnings per share of $0.16 that was below the comparable $0.32 per share in Q3 and the $0.23 per share last year. While normal seasonal trends contributed to the sequentially lower result, higher maintenance and economic downtime in our Containerboard and Tissue business segment were important factor on the consolidated basis. Jean and Charles will expand on these reasons for this later in the call. Looking at our financial performance, Q4 sales of $979 million decreased 4.1% sequentially due to seasonality and additional downtime and increased slightly year-over-year. Our Q4 adjusted EBITDA of $82 million declined $21 million or 20% sequentially and $22 million or 21% year-over-year. Allan will discuss the detail of our financial performance later during the call. On the KPI front, shipment during the quarter increased by 2.6% year-over-year driven by increase of 5.6% in Containerboard and 15% in Specialty product. The benefit of which were partially offset by the flat shipment in Europe and a 1.4% decrease in Tissue. Sequentially in Q4, shipment decreased 3.5% reflecting the decrease in all our North American operation, largely attributable to the combination of normal seasonality and greater market and maintenance downtime. This was partially upset by a 2% increase in shipment in Europe. Our capacity utilization rate was stable year-over-year on both quarterly and annual basis. Both the Containerboard and European division increased their utilization rate in the fourth quarter when compared to last year. While capacity utilization in Tissue decreased primarily due to seasonality and increased market downtime during the period. Moving on to the external factor on the material side, the average Q4 price index for OCC Brown paper grade was up 1% on a sequential basis and 19% year-over-year. While the average quarterly price up, and basket of white grid fiber increased 8% sequentially and 18% year-over-year. OCC prices have since increased by $30 in the past several months and we would expect tight market dynamics and strong demand to continue putting pressure on pricing in the near-term. Luc will expend on this in his comment. Before I pass the call to Allan, let me now briefly discuss leverage. I am pleased to note that we continue to decrease our debt, which I believe sticks to our commitment to improve both on financial position and on our flexibility. Our leverage ratio now stands at 3.8 times, flat with Q3 given our weaker adjusted EBITDA performance, but down from 4 times at the end of 2015. We would expect improvement on this front going forward as we enter into a more favorable seasonal period, implemented operational improvement and continue to focus on reducing working capital requirements and allocating free cash flow to work debt repayment. I will now hand the call to my colleagues beginning with Allan and we'll be providing more details regarding our quarterly results. I will then discuss the European operation and followed by our near-term outlook. Allan?
Allan Hogg: Yes, thank you Mario, and good morning. So I will begin with sales as detailed on Slide 13 and 14. On a year-over-year basis, fourth quarter sales increased by $4 million. This reflects a strong contribution from our recovery and recycling activities and improved volume in a Containerboard and Specialty Product segments. Lower selling prices and less favorable mix, primarily in Europe and Containerboard were offsetting factors. Sequentially sales decreased 4% or $42 million. This is primarily a result of normal weaker seasonal trends in Tissue and Containerboard, in addition to longer markets related and maintenance downtime taken in the segments during the period. Sales from our European Boxboard segment increased marginally from the seasonally weaker Q3. Moving now to EBITDA, as highlighted on Slide 15, Q4 adjusted EBITDA were $82 million, it was 21% below last year. This was driven by a lower contribution from our Containerboard Packaging and Tissue groups. Charles and Jean will provide more details regarding their respective performances. Lastly, our European Boxboard operation saw the contribution decrease by a marginal $2 million year-over-year. While corporate cost levels were flat year-over-year, please know that we expect our investment levels associated with the implementation of our ERP system and other internal processes optimization initiative to remain elevated to the end of 2017 as we mentioned during the last quarter conference call. Sequentially as detail on Slide 16, Q4 EBITDA decreased by $21 million or 20%, reflecting the normal seasonality inherent in our Tissue and Containerboard segments. Lower sequential corporate cost partly offset the weak – the impact of weaker contribution from these two divisions. Slide 17 and 19 of the presentation illustrate the sequential and year-over-year volumes of our Q4 earnings per share and the details of the specific items that affected our quarterly results. As Mario mentioned, compared to last year, our fourth quarter adjusted EPS decreased to $0.16 from $0.23 sequentially adjusted EPS decrease by $0.16 per share. This reflects seasonally weaker result, partially offset by a higher contribution from our share of result of associates and JVs. Slide 19 and 20 of the presentation illustrate the specific items recorded during the quarter. We recorded a net amount of $11 million of specific items in Q4 that impacted our quarterly net earnings. More precisely we recorded a 2 million impairment charge reversal following the sale of our de-inked pulp mill in Maine closed in the previous quarter and $13 million foreign exchange loss on long-term debt and financial instruments. As I just illustrated on Slide 21, cash flow from operations decreased your-over-year to $84 million, during the fourth quarter of 2016 compared to the third quarter, which included $38 million of the financing expense paid cash flow from operations increased by $16 million. Capital expenditures, including capital lease payments, total $59 million resulting in a free cash flow of $22 million during the quarter. Moving now to our debt reconciliation. In addition to the cash flow from operations, working capital provided $93 million of liquidity during the quarter, which were partly used for CapEx payments and to offset the currency impact on our long-term debt during the fourth quarter. Net debt stood at $1,532 million at year-end, a 6% decrease from Q3. For the full-year, cash flow from operations and working capital coupled with the favorable foreign exchange rate resulted in 11% or $189 million year-over-year decrease in net debt. Our leverage ratio now stands at 3.8 times down from 4 times at the end of last year. Looking now at Slide 24, we detailed our quarterly EBITDA margin and leverage ratio when taking into account our non-consolidation investments on a proportionate basis. Finally, we provide updated financial information on Greenpac on Slide 25. Details regarding each segment’s performance on Slide 27 through 30, and additional information on Slide 32 through 37. Thank you for attention. I will now pass the call to Charles who will discuss the Q4 results of our Containerboard. Charles?
Charles Malo: Good morning, everyone and thank you, Allan. During the fourth quarter of 2016, the Containerboard Group shipments reached 283,000 short ton, which represented a 4% sequential decrease. The short fall in volume experienced in Q4 stains from both manufacturing and converting activities. On the Converting side, the shipments sequentially decreased by 5%, which is in line with our normal seasonal trend. The performance is also in line with a 5% decrease in the Canadian market, but underperformed the 1% decrease seen in the U.S. market. On the manufacturing side, our operating rate decreased to 92%, which represents a decrease of 5% compared to the previous quarter. This lower operating rates stains from 12 days of planned maintenance downtime taken in three of our mills. Consequently, our external paper shipments decreased by 4% and our integration rate decreased by 3% to 51%. Including paper sold to our associated companies, our Q4 integration rate stood at 65%, a decrease of 3% compared to the previous quarter. On the pricing front, average selling price decreased by CAD25 per short ton, or 2% on a sequential basis. Of that, our average Containerboard selling price increased by CAD24 per short ton as a result of the $40 price increase implemented during the fourth quarter and unfavorable product mix during the quarter negatively impacted our average selling price. On the other hand, the Canadian dollar weakness helped to partially mitigate the impact of the unfavorable product mix. With regards to profitability, the Containerboard Group generated an EBITDA of $43 million during the fourth quarter, which represent a margin of 13% of sales. This performance compared to margin of 16% in the previous quarter and 17% during the same period last year. When compared to the previous quarter, our lower results are mostly explained by a lower average selling price and lower shipments, which subtracted $9 million and $5 million respectively from our results. Also, 12 days on planning in three of our paper mills subtracted $2 million from our EBITDA, while higher energy and labor costs subtracted another $3 million from our quarterly results. Finally, our average raw material cost benefited from $2 per short ton of OCC average price reduction in the Buffalo region, which combined with a more favorable mix of paper rolls versus OCC materials that were consumed, added $4 million to our results compared to the third quarter of 2016. With regards to the short-term outlook, we expect to benefit from the increase US$40 per short ton Containerboard price and the 8.5% corrugated price increase implemented in Q4 2016. In addition, we announced our second US$50 per short tons price increase on the containerboard product which will be effective at the end of March and which will positively impacted Q2 results. We also announced a 10% increase in corrugated product and would expect benefit to be rolled out as the increase implemented according to contract terms with full implementation in the second half of 2017. Despite a record month, our production in our mill system in January, we remain cautiously optimistic for the first quarter of 2017 due to recent OCC price increases. Finally, a word on the performance of their Greenpac mill. During the fourth quarter of 2016, Greenpac produced 125,000 short ton of linerboard. Cascade proportional share of Greenpac’s net earnings, excluding specific items remain sequentially stable during the Q4 at $4 million, or $0.04 per share. The Greenpac x-degrades now represents 82% of the total production of the mill, which is stable compared to the Q3. Also, I am proud to mention that Greenpac achieved a monthly production record in January. Thank you for your attention. I’ll now ask Mario to provide you with an overview of our Boxboard activities in Europe. Mario?
Mario Plourde: Thank you, Charles. Market condition in Europe continue to be challenging throughout 2016. And while our Q4 shipment in capacity utilization increased marginally from Q3 levels, annual results were below those of last year. This reflect the continuing challenging market condition. Notably, the 1.4% annual decrease in European demands for the White-Lined Chipboard and comparable 0.5% annual decrease in the European demands of the Folding Boxboard which are RDMs two sectors of operation. In Canadian dollars, Q4 sales increased by $2 million compared to the third quarter. This reflect normal seasonality. The increase shipment of both recycle and Virgin grade due to improved demand partially offset by lower average selling price in Canadian dollar. The price increase announced in the fall of 2016 also help to slow the downward trend in selling prices that have been seen in the previous quarter. On a year-over-year basis, Q4 sales in Canadian dollar decreased 5%, reflecting a lower average selling price in Canadian dollar, lower demand and the prevailing tough market condition in Europe. Fourth quarter adjusted EBITDA totaled $11 million, down $2 million compared to last year, but $2 million improvement over the Q3 levels. This reflects higher sequential production following the usual maintenance shutdown taking during the seasonally slower third quarter as well as increase in shipment. These were partially offset by lower selling prices and higher raw material costs. Well demands in RDMs two sectors of operations White-Lined Chipboard and Folding Boxboard were down on an annual basis in 2016. European markets are beginning to show potential signs of improvement with a stronger order inflow in the beginning of 2017. On the pricing front, the fall of 2016 price increase provided some offsetting support for declining sales price in Q4. In spite of this, Q4 prices still came in below those of Q3. I am pleased to know, however that a second €60 price increase was announced last week for early April which suggests that more favorable pricing trends materialized going forward. Thank you. And I will now pass the call to Luc who will provide you with overview of the performance of our Specialty Products Group.
Luc Langevin: Thank you, Mario. Good morning. I’m pleased to report that the Specialty Products Group delivered another good performance during the last quarter of 2016. Sales for the Group totaled $156 million during the fourth quarter and like that levels, we are not significantly different from the previous quarter despite the inherent seasonality associated with the end of the year. It also worth mentioning that our topline improved by more than 6%, year-over-year mostly due to higher volumes and selling prices in our recovery sub-segment. Our fourth quarter EBITDA also remains relatively stable at $17 million, which is commendable during this period. As a result, our EBITDA margins stood at 11%. We also pleased with the Group’s 6% EBITDA improvement over last year. Looking more specifically at our sub-segment, EBITDA in Industrial Packaging decreased due to negative impact of lower volume, as well as higher recovered paper and operating costs. Our consumer product packaging sub-segment also generated a sequentially lower EBITDA. Results during the quarter were negatively impacted by lower seasonal shipments and the insuring increase in operating cost. Finally, results from our recovery sub-segment continue to improve during the quarter as our volumes, a positive spread volume in a favorable exchange more than offset our production cost. Regarding the near-term outlook, market conditions or recycled fibers, more specifically for OCC grade as evolved rapidly from late 2016. Strong production from domestic mill, consistent a robust export activity, typically lower generation following year-end, and some aggravating regional temporary weather condition at fuel price increases in January and February. Thanks to our high level of the contracted supply, the support of our own recovery operation and the strategic management of global inventory, Cascades has been able to manage these temporary volatile conditions without impacting supply due our operations. We expect market conditions to improve with the normal increase generation that occurs in the spring season. Until then market conditions will likely remain tight. Moving to our third business area, then please to note that our plants are currently busy and we expect demand for products to remain solid. In January, we announced a $60 per ton price increase on our Uncoated Recycled Board sales and expect the full benefit of the increase in Q2. The increasing recovered paper costs will negatively impacted our segment. However, these effects will be more than offset by the corresponding positive impact from our recovery operation. Reset published price increases in polystyrene and polyethylene will result in increased cost in our consumer packaging segment. As a result, we have announced price increases on our business products or price escalators will be applied as per agreements with large customers. In 2017, we remain cautiously optimistic about rebating our solid 2016 performance. Thank you for your attention. I will now pass the call to Jean, who will present the results for our Tissue Papers Group.
Jean Jobin: Thank you, Luc. Good morning, everyone. I’m pleased to report as the Tissue Group delivered a solid performance for 2016 as a whole. With adjusted EBITDA of $150 million or a margin of 11.5%. This compares to adjusted EBITDA of $119 million in a margin of 9.6% in 2015. In Q4, we generated $30 million of adjusted EBITDA, which represents margin of 9.4%. As per usual seasonal trends Q4 is less profitable than Q3 due to volume and winter related costs. Overall our Q4 adjusted EBITDA was 36% below our record in Q3 EBITDA of $47 million and corresponding margin of 14%. Our overall shipments decreased by 12% in Q4 and it is a lower seasonality that drove our overall financial performance during the quarter. The parent roll segment was also impacted by market seasonality in Q4, which shipments down 27% compared to the previous quarter. In addition to the coming year-end market related downtime, we completed a planned two week shutdown in one of our U.S. facility to install equipment more specifically it still Yankee. We are extremely satisfied with this investment. On the converting side, normal market seasonality impacted the Q4 performance in our Cascades PRO division, which covered the Away-from-Home market. To this end, a 4% decrease in volume impacted overall converting shipment. In terms of pricing, our average fourth quarter selling price increase of 5% on a sequential basis. This improvement was mainly driven by a favorable product mix and the weakness of the Canadian dollar. The Cascades PRO price increase announced at the end of the fourth quarter will begin to positively impact our performance in Q1 2017. Therefore, the higher average selling price as just discussed should partially offset our lower shipments, which translated into a 7% sequential sales decrease. On an operational basis, despite good productivity, the low production volumes stemming from the plant shutdown negatively impacted our overall Q4 performance. Our fourth quarter profitability was also negatively impacted by higher marketing investments in both our – consumer products and investment revolve around the launch of our new Cascades brand, while investment in our Cascades PRO segment were related to our products rebranding and SKU rationalization. The investment we are making on the West Coast and Scappoose, Oregon also negatively impacted our Q4 EBITDA performance as we incurred plant cost related to the hiring and training of the staff. That being said, this will be our most modern facility and we are very happy with the progression of this key strategic project and look forward to the upcoming early April start up. As of today, line one is running, line two is almost ready for production and line three is in transit. The project is both on time and on budgets. Looking ahead to Q1, which is typically the lowest season for Tissue demand wise, we are expecting normal lower volumes primarily in the Cascades PRO and parent roll segment. As usual, we will take advantage of the opportunity for annual maintenance and preparation for the summer high season. The strategic marketing investment we are making in both consumer product and Cascades PRO segments will continue to impact our EBITDA in Q1, while the 2016 year-end price increases in our Cascades PRO segments will slowly start to help our performance. I would also note that we will continue to incur costs associated with the start up of our new Oregon converting facility over the coming quarters. Thank you. I’ll now turn the call back to Mario for a conclusion. Mario?
Mario Plourde: Thank you, Jean. 2016 was an interesting and even full-year [indiscernible] front and we expect 2017 to be no different. In North America, our near-term results are expected to reflect the normal seasonal trends inherent to our segment of operation in Q1 as well as the price increases announced in 2016 in Containerboard and Tissue and the $30 increase in the average OCC market price over the past several months. As for OCC, we expect tight supply and demand dynamic to keep pressure on the raw material pricing for the near-term. That said our recovery and recycling business remain intensely focused to ensure that all our material input needs are met. In Europe, markets are showing early signs of improvement with stronger order in flow in the beginning of the year coupled with the €60 price increase announced in February 23. The positive other book trend should have contracted market softness and translate into improved performance at the mean time. Finally, let me touch briefly on two initiatives going forward. The first, our financial position, we are resolute in our commitment to improve our financial position and flexibility as our goal is to reduce our leverage ratio to 3.5-time range in the near-term. The second initiative is growth, we continue to be focused on growth initiative that will deliver ways for us to increase operational efficiency, increase integration, improve execution and then expand our competitive positioning. All that while enabling us to maintain a strategy of thorough and prudent capital allocation. We have established our 2017 CapEx budget at $200 million on a consolidated basis and we'll monitor it according to the market condition. I will now open the line for question. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Leon Aghazarian of National Bank Financial. Please go ahead.
Leon Aghazarian: Hi, good morning, everybody. My first question relates on the Tissue side. Can you just comment a little bit on the utilization rates in the quarter, I mean we saw that it's approximately around at 83%? Can you talk about that a little bit as it maybe relates to the maintenance and perhaps as it relates to also the new converting facility in Oregon as well?
Allan Hogg: Yes. Thank you, Leon for your question, when you look at our Q4, I want to say probably allow the market – allow the downtime we took, we had probably 40% that is usual downtime related to Christmas period, 30% really to market condition, but also 20% of the new – still Yankee that we have in mechanic overall. So It looks bad, it looks worse than it is, but honestly it’s all good for us when it’s coming and our integration rate should go back to what we are averaging in the past. Q1 will go up probably two to three points in terms of percentage and will come back to the high 80s and low 90s in Q2 and then regular after that. So we are not stressed by that. We look a little more to reduce our inventory and that was plan, so we were very in line with the time we have.
Leon Aghazarian: Okay. And could you help clarify or maybe quantify the ramp up schedule of the new converting facility in Oregon. I know you mentioned that first line is up, the second one is ongoing. So can you maybe kind of quantify that for us in terms of what the output would look like once if they're all full up and running?
Allan Hogg: Well, our plan was over three years and the plan was to convert something like 50,000 ton, a little bit above 50,000 tons. So right now we're going to ramp up, obviously this year in 2017 we’ve only have nine months. So we will probably be in the 25,000 tons this year going up to 35,000, 40,000 next year and 50,000 right after that. This will not necessarily be driven by our production capacity, but more by the rhythm that’s going to be able to find sales for that volume.
Leon Aghazarian: Okay. And then the status of the 2016 the price increases that you mentioned, you mentioned that they were implemented towards the latter half of Q4 and you would expect see an impact in Q1. Can you talk to us about the timeline there in terms of when you expect it to be fully implemented and when you get the full benefits of that?
Allan Hogg: Away-from-home, the one that we are talking about that was announced in December, it varies the percentage, obviously as we are rebranding all of our product. It was also a way for us to put our product at the right level to facilitate the transition after. So it’s normally six month in the away-from-home before you can renew, let’s say 90% of your contracts that it takes normally. So something like by the end of the Q2 all the increase that was planned will be in our results.
Leon Aghazarian: Okay. That’s helpful. And then one final one for me on the Tissue would be – are you still targeting a 13% margin and is that a 2017 target for Cascade?
Mario Plourde: We're still targeting the same, but I will not give any day to reach there, but this is what my boss is expecting from me.
Leon Aghazarian: Understandable, and one final one for me, I guess switching gears here. I mean we obviously see the strength in the Boralex's share price. Has there been any change in terms of Cascades view on that holding?
Mario Plourde: Not at this time. We don't have anything to announce to you. We realize that we made the right decision to holding to our share, but we have new announcement to make this morning.
Leon Aghazarian: Okay. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Hamir Patel of CIBC Capital Markets. Please go ahead.
Hamir Patel: Hi, good morning. Mario, there is a lot of moving pieces right now with the lag in the price sides ramp up that, Oregon, the other projects you’re getting with Cascade one and the ERP if I weigh those up, it's not hard for me to see EBTIDA, [call it and then] $525 million range. Just curious whether you think that's a reasonable number for a run rate EBITDA, when all these various initiatives are done and the price hike is fully in?
Allan Hogg: It's a nice number to look at, but as you see there's many moving parts as we speak and this will be lagging throughout the year, this year. So obviously it's going to be tough to predict on this number for 2017, but obviously it is something that we're looking for in 2018 as we’re going to be winding down the investment and the ERP and SAP and capturing the benefit of all these investment at the same time, so it has to predict for 2017, but obviously in objective for 2018.
Hamir Patel: Great, thanks. That's helpful. And your press release referenced that you guys were looking at strategic option for creating shareholder value, balance sheets continuing to improve. Is that perhaps accelerated how you might think about potentially buying out the minority partners at Greenpac?
Mario Plourde: Yes, it is something that we said in the past that eventually we would be looking at when the opportunity arise, we will obviously discuss this with our minority partner and when time comes and we will probably be acting on it.
Hamir Patel: Great, thanks. That’s helpful. On a question for – on the Containerboard segment in a reference weaker mix in the quarter, I was just wondering was that seasonal or was that perhaps something permanent that there are some customer shifts that happen?
Mario Plourde: I mean this is normal for us in Q4. We're heavily in Specialty Product on converting. So every year Q4 and the beginning of Q1 also we see a mix change like we seen this year. In addition, we did sell in percentage with less converted product enrolls that also affected our pricing.
Hamir Patel: Yes. I guess my question was more on the – was that on Containerboard side you are referring?
Mario Plourde: Yes, that was Containerboard.
Hamir Patel: Yes, okay. And then the other thing I was wondering about given the raise in OCC prices, I know I mean one of your competitors out there at Pratt, uses a lot of mixed paper. Is that – or their technology constraints that would maybe limit your ability to use alternative fibers when OCC is really high or is it maybe a product quality concern that’s limit your ability to swing?
Mario Plourde: Well there is that technology limitation, but we are working since the OCC increase like the way it does. We have increase in some of our mills where we do Semican we have increased our percentage of the fiber, the virgin-fiber. In addition to that we also are increasing where we can the percentage of mix. But there is a limitation due to the technology that we are using, yes, and the quality that will result if we increase too much.
Hamir Patel: Fair enough, thanks. That’s all I had. I’ll turn it over.
Operator: Your next question comes from the line of Keith Howlett of Desjardins Securities. Please go ahead.
Keith Howlett: Yes, I was wondering whether you'll be considering an additional Greenpac type facility, whether it's too early to consider that?
Mario Plourde: Well, at this it’s little too early to discuss that, obviously for the long time we might be considering that, but right now we have a lot on our plate, so it's not on the short-term this.
Keith Howlett: And then I had a question on the Tissue business. Was there any gain or loss if customers in that division or was it merely related to the sort of seasonality downtime in these refurbishment?
Mario Plourde: No loss of customer that we can report honestly and converting side, it’s all in line with what we always have, so nothing there to report. We just started with an inventory a bit too high and without that big project for one of our large facility that is doing a lot of terms just up two weeks, it was a lot of terms for them. So no there is nothing to be worried about on this front.
Keith Howlett: I just had a question on the Containerboard business with the new plant of competitor opening up in [indiscernible], does that begin to affect you in advance of the plant opening that you see a competition for contracts or is it sort of take place post opening?
Mario Plourde: Keith just with what we have known for the announcement has been made for quite a while now, so we have a mill that is producing light weight with that Greenpac. So what we've done to prepare to compete is we have secured contract with customers. We have promoted our XP product, which is very well accepted on the market. So this is the position that we've been taken. At this point the new capacity in [Three Rivers] is not up and running. So we haven't seen any competition or any signs as we speak. But I can tell you that we have been working very hard to put our strategy together to be prepared and ready to compete and we are.
Keith Howlett: Thank you. And then just a question on the announcement with Cascades Sonoco on the FlexShield, what sort of – can you speak a little bit about what you see as the market opportunity for that product?
Luc Langevin: Yes. This is Luc talking. Yes, this investment is looking at the replacing wax products and polycoated products with a water base, repopable, compostable coding. And what we are looking at is take out boxes business and some part of the – what would be typically the wax curtain-coated business.
Keith Howlett: And is there a strong interest amongst restaurant or is there is strong economic incentive to move to this sort of packaging from wax base?
Luc Langevin: We have already relationship that we have developed. We’re currently exporting from Canada and developing this business from Canada, but we are leaving that just in the Southeast where the volume of Containerboard production and Boxboard production is located and we needed the capacity there. So we see a significant potential in that business.
Keith Howlett: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Leon Aghazarian of National Bank Financial. Please go ahead.
Leon Aghazarian: Hi. I just had a one quick follow-up on the Greenpac, what was the output for January that you said was a record output for Greenpac?
Mario Plourde: We achieved a record which is higher than our objective, but we're not disclosing the number, it’s going to be too precise, if you understand what I mean. We don't want to disclose our other secrets of our competition.
Leon Aghazarian: Sure, understandable. What is the outlook for 2017 for Greenpac and I mean obviously that was impacted by some of the input prices as well that affected somewhat the EBITDA margin. So just kind of trying to get a sense of what the outlook will be for Greenpac specifically for 2017 and if there any other kind of major benchmarks or any hurdles that you're looking for to achieving?
Mario Plourde: So I can say that the ramp up is behind us. The mill in performing very well. Stability is there. The product is very, very stable right now and as I said very well accepted on the market. So when I look at the output that we have at the mill and now we can sell it. And it's in great demand. The mill also is equipped with the technology that we can increase a portion of the mixed waste like we said earlier. So this is one mill where we can do this. So we can try to minimize a bit of the impact of the OCC increase. But again, the goal was to ramp it up. It’s done and now it's very stable and now we're working on increasing the efficiency and also working on our cost because as you know when you're ramping up you make a lot of changes in the mills, so now we're at the fine tuning steps and it's going very well.
Leon Aghazarian: Thanks. That's it for me. End of Q&A
Operator: There are no further questions at this time. I will turn the call back over to the presenter.
Mario Plourde: Well, thank you everyone for being on the call today and looking forward to talk to you for the Q1 results. Thank you very much. Have a good day.
Operator: This concludes today's conference call. You may now disconnect.